Operator: Greetings, ladies and gentlemen, and welcome to NETGEAR Incorporated Fourth Quarter and Full Year 2014 Earnings Conference Call. [Operator Instructions] It is now my pleasure to introduce your host, Mr. Christopher Genualdi. Thank you, sir. You may begin.
Christopher Genualdi: Thank you, operator. Good afternoon, and welcome to NETGEAR's Fourth Quarter and Full Year 2014 Financial Results Conference Call. Joining us from the company are Mr. Patrick Lo, Chairman and CEO; and Ms. Christine Gorjanc, CFO. The format of the call will be a brief business review by Patrick, followed by Christine, providing details on the financials and other information. We will then have time for any questions. If you have not received a copy of today's release, please call NETGEAR Investor Relations or go to NETGEAR's corporate website at www.netgear.com. Before we begin the formal remarks, the company advises that today's conference call contains forward-looking statements. Forward-looking statements include statements regarding expected revenue, operating margins, tax rates, cash generation and other projected financial results, expected market share, market trends and opportunities, competition, research and development efforts, sales and marketing efforts, new product introductions and our growth strategy related to LTE, connected home and SMB vertical solutions. Forward-looking statements made during the call are being made as of today. If this call is replayed or reviewed after today, the information presented in the call may not contain current or accurate information. Further, forward-looking statements are subject to certain risks and uncertainties and are based on assumptions as to future events that may not prove to be accurate. Therefore, actual outcomes and results may differ materially from what is expected or forecast in these forward-looking statements. Potential risks are detailed in the company's periodic filings with the SEC, including those risks and uncertainties listed in the company's most recent Form 10-Q filed with the SEC. NETGEAR undertakes no obligation to release publicly any revisions to any forward-looking statements contained herein to reflect events or circumstances after the date hereof or to reflect the accuracy of unanticipated events. In addition, several non-GAAP financial measures will be mentioned on this call. Information relating to the corresponding GAAP measures as well as a reconciliation of the non-GAAP measures and GAAP measures can be found in our press release or on the Investor Relations website at www.netgear.com. At this time, I would now like to turn the call over to Mr. Patrick Lo. Please go ahead, sir.
C. S. Lo: Thank you, Christopher. And thank you, everyone, for joining today's call. Before we begin with the financial results and outlook for 2015, I would like to highlight the successes that we had in 2014. During last year, we significantly increased the average selling prices for the Retail Business Unit, with our Nighthawk line of routers and our entry into the Cable Gateway segment in U.S. retail. We rapidly expanded our online presence, particularly at Amazon.com worldwide. We continued to excel in the switching market. We expanded our LTE footprint into new accounts and into retail. We continued to expand within Asia-Pacific region. First, we returned a compelling amount of capital to shareholders. We will look to build on all these successes in the year ahead. On the other hand, we are faced with stiff headwinds in the service provider wireline business due to the reduction of wireline investment amongst service providers. We are adjusting our strategy for the coming quarters by focusing more on the LTE side of the business as well as a limited but strategic set of wireline customers, where we believe we can add the most value. We'll discuss this in more detail in a moment. NETGEAR's net revenue was $1.39 billion for the full year of 2014, which is up 1.7% compared to full year 2013 revenues. For the fourth quarter of 2014, NETGEAR net revenue was $353.2 million, which is down 1% on a year-over-year basis and flat on a sequential basis. Non-GAAP EPS for the full year 2014 was $2.54. Non-GAAP diluted EPS for the fourth quarter of 2014 was $0.65, which is up 10.2% year-over-year. For a full reconciliation of GAAP to non-GAAP financial results, please refer to the fourth quarter and full year 2014 earnings press release. During the fourth quarter, net revenue for the Americas was $194.7 million, down 7.9% year-over-year and slightly up quarter-over-quarter. It was a very successful holiday season for the Retail Business Unit, but the Service Provider Business Unit suffered from the overall contraction in service provider CapEx spending that will, believe me, persist throughout 2015. Europe, the Middle East and Africa, or EMEA, net revenue was $106.2 million, which is up 6.3% year-over-year and down 2% quarter-over-quarter. While the depreciation of all European currencies created challenges for this region, we are pleased with the strength that each of the 3 business units demonstrated against our EMEA competition. Our Asia-Pacific or APAC's net revenue was $52.3 million, which is up 15.3% from the prior year's comparable quarter and up 2.5% quarter-over-quarter. This was a record net revenue quarter for APAC. Our high-end router sales continue to do well in this region where we have successfully built upon our market position as the premium home networking brand available in retail. On the commercial side, we have been successful with solution sales in all of the Asia-Pacific countries. In Q4, we maintained a high level of shipments with $6.6 million units shipped. We also introduced 24 new products during the quarter. As always, sales channel's development is a key focus for the company as our sales channel remains a critical strategic asset. By the end of the fourth quarter of 2014, our products were sold in approximately 44,000 retail outlets around the world, and our number of value-added resellers stands at approximately 36,000. Now let's turn to our review of the fourth quarter results for our 3 business units: retail, commercial and service provider. For the Retail Business Unit or RBU, net revenue came in at $147.9 million, which is up 8.8% on a year-over-year basis and up 12.6% sequentially. The fourth quarter of 2014 was a record-breaking quarter for the Retail Business Unit in terms of net revenue, and we are very pleased with RBU's performance during the holiday season. With the introduction of our Arlo cameras in Q1, we look forward to further grow from RBU in 2015. RBU's strength continues to be driven by our Nighthawk routers and cable gateways in Q4. The Nighthawk line of 802.11ac routers was a hit with consumers during the holiday season. Additionally, NETGEAR has successfully established itself as a leader in the retail cable gateway market in the United States. This market has been growing very rapidly as consumers are increasingly purchasing the cable gateways from retail to avoid the costly monthly rental fees charged by service providers as well as gain improved home WiFi performance. We plan to continue to expand these 2 product lines in the coming quarters. If you attended our Analyst Day in November of last year, then you are already familiar with Arlo, our smart home brand. Arlo is NETGEAR's new product line for bringing the Internet of Things into the home. We have kicked off the product line with the Arlo smart home security camera, the world's first 100% wire-free, indoor and outdoor, high-definition, day-and-night vision, IP camera for home monitoring. Unlike other home IP cameras on the market, it is battery-operated and weatherproof, meaning, that it can be placed anywhere inside or outside the house without being constrained by the availability of power outlets. Our Arlo cameras are currently available on Amazon.com in the U.S. and in a very limited set of North American retailers. We plan to rapidly expand Arlo's distribution in North America and worldwide in the coming quarters. The Commercial Business Unit or CBU generated net revenue of $79.4 million for the fourth quarter of 2014, which is up 5.8% on a year-over-year basis and up 10.3% sequentially. The market demand of our 10Gig and PoE switches continue to be robust. With the January introduction of the M6100 series of chassis switch on the high end and the revolutionary Click Switches on the low end, we believe our momentum in switching is strong heading into 2015. The Click Switch is a simple yet innovative piece of hardware that allows for easy, flexible switch mounting and reduced wire clutter, with a star at our CES exhibition floor in January. For our Service Provider Business Unit, or SPBU, net revenue came in at $125.9 million for the fourth quarter of 2014. This is down 13.6% year-over-year and down 16.1% on a sequential basis. As stated in our prior earnings call, we had expected service provider revenues to decline due to CapEx spending weakness at certain major service providers in both North American and Europe. As you all know, in addition to reduced CapEx spending, the service provider industry is going through a period of consolidation, which has affected and will likely continue to affect SPBU's performance. Looking at 2015, our service provider customers have indicated that purchase constraints will further deteriorate throughout the year and that this deterioration will not be temporary. We have chosen to pass on a certain unprofitable wireline business deals that do not fit with the financial discipline that we have at NETGEAR. Service providers are going through a transition as they appear to be reducing wireline investments but continuing to invest in wireless. We are adjusting our R&D and sales coverage accordingly. For our Service Provider Business Unit, we expect the revenue decline to continue in the current quarter and believe SPBU may settle at the $100 million to $105 million per quarter level for the rest of the year. Given SPBU's reduced revenue outlook for 2015 and to keep our costs in line with SPBU revenue, we are taking definitive steps to resize the cost structure of this business unit and concentrate the remaining resources on LTE and long-term and profitable accounts. I'd like to highlight that the 4G LTE business continues to represent our largest growth opportunity in the Service Provider Business Unit. Meanwhile, we will redeploy the cost savings and reinvest that over the next few quarters on growth opportunities for both RBU and CBU. We will continue to add resources in these areas to maintain our technology and channel leadership. In summary, while 2015 is going to be a transition year for the Service Provider Business Unit, we believe that the Retail Business Unit and Commercial Business Unit have exciting and profitable opportunities in front of us. RBU stands to benefit from the continued introduction and the wider adoption of new 802.11ac technology as well as the accelerated penetration of home monitoring and automation products into consumers' homes. The Commercial Business Unit, our most profitable business unit, will continue to provide unique solutions in switching, wireless LAN and storage to the underserved SMB verticals, specifically, health care, hospitality and K-12 schools. I will now turn the call over to Christine for further commentary on our financials for the quarter.
Christine M. Gorjanc: Thank you, Patrick. I will now provide you with a summary of the financials for the fourth quarter of 2014. As Patrick noted, net revenue for the fourth quarter ended December 31, 2014, was $353.2 million as compared to $356.6 million for the fourth quarter ended December 31, 2013 and $353.3 million in the third quarter ended September 28, 2014. We shipped a total of about 6.6 million units in the fourth quarter, including 5.3 million nodes of wireless products. Shipments of all wired and wireless routers and gateways combined were about 3.2 million units for the fourth quarter 2014. Moving to the product category basis. Fourth quarter net revenue split between wireless and wired was about 74% and 26%, respectively. The fourth quarter net revenue split between home and business products was about 77% and 23%, respectively. Products introduced in the last 15 months constituted about 46% of our fourth quarter shipments, while products introduced in the last 12 months constituted about 36% of our fourth quarter shipments. From this point on, my discussion points will focus on non-GAAP numbers. As mentioned previously, the reconciliation from GAAP to non-GAAP is detailed in our preliminary financial statements released earlier today. The non-GAAP gross margin in the fourth quarter of 2014 was 29.3% compared to 29.2% in the year-ago comparable quarter and 29.9% in the third quarter of 2014. Total non-GAAP operating expenses came in at $68 million for the fourth quarter of 2014, which is up compared to the $66.2 million in the year-ago comparable quarter and flat with the prior quarter's total non-GAAP operating expenses. We will continue to closely manage operating expenses in a disciplined fashion. Our non-GAAP R&D expense for the fourth quarter was 6.2% of net revenue as compared to 6% in the year-ago comparable period and 6.2% of net revenue during Q3 2014. We continue to spend R&D dollars carefully and strategically in the key areas that we expect will drive future growth and profitability for the company. We remain committed to driving further optimization in our sales channel, supply chain and support function, which should result in further operating margin leverage. Our headcount decreased by net 9 people to 1,038 during the quarter. We expect headcount will further decrease in Q1 due to the restructuring, but that will increase over the rest of the year while we invest the savings in the LTE, Nighthawk, Arlo and SMB solutions. Our non-GAAP tax rate was 36.7% in the fourth quarter of 2014 as compared to 39.6% in the fourth quarter of 2013 and 29.4% in the third quarter of 2014. The favorable tax rate in the prior quarter was due to a catch-up benefit resulting from improved profits generated from our international business. Looking at the bottom line for Q4, we reported non-GAAP net income of $22.9 million and non-GAAP diluted EPS of $0.65 per diluted share. Our balance sheet remains strong. We ended the fourth quarter of 2014 with $257.1 million in cash, cash equivalents and short-term investments compared to $242.6 million at the end of the third quarter 2014. For the fourth quarter of 2014, we generated over $41 million in cash flow from operations. During the trailing 4 quarters, we generated approximately a $109 million in cash flow from operations, which demonstrates our continued ability to generate cash. We are very focused on optimizing the business and generating free cash flow, which gives us flexibility with our business needs as well as the ability to strategically deploy cash to enhance shareholder value. Our financial results for the fourth quarter include a noncash goodwill impairment charge of $74.2 million related to our Service Provider Business Unit. Given the weakened long-term revenue and profit outlook for this business unit, we are undergoing a restructuring to ensure that the profitability of the Service Provider Business Unit will be in line with our expectations. As a result of the restructuring, NETGEAR estimates that it will incur pretax charges of approximately $7 million to $9 million, consisting of severance and other onetime termination benefits, lease terminations and other associated costs. The company expects to report -- record the majority of these charges and complete the restructuring by the end of the second quarter. We will redeploy the savings and continue to prudently invest in profitable growth opportunities, such as LTE, Arlo, Nighthawk 11ac, cable gateways and SMB solutions. In Q4, we spent $22 million to repurchase approximately 706,000 shares of NETGEAR common stock at an average price of $31.18 per share, which resulted in a $0.01 benefit to non-GAAP diluted earnings per share for the quarter. Since the start of our recent purchase activity in Q4 2013, we have repurchased approximately 4.8 million shares or 12.3% of the fully diluted share count at the beginning of that period. Our number of diluted shares is now pre-2010 level. At the end of the fourth quarter of 2014, we have completed the repurchase program previously authorized by the company's Board of Directors in October 2008. We still have 3 million shares of the company's common stock or approximately 8.5% of the current fully diluted share count authorized for repurchase by the Board of Directors in October of 2014. We continue to believe that it is important to return cash to our shareholders in excess of our operating and strategic needs and that a stock repurchase program is an effective means to accomplish this. We expect that we will continue to be opportunistic buyers of NETGEAR's stock in 2015. DSOs for the fourth quarter of 2014 were 73 days as compared to 69 days in the fourth quarter of 2013 and 72 days in the third quarter 2014. Our fourth quarter net inventory ended at $222.9 million compared to $224.5 million in the fourth quarter of 2013 and $206.5 million at the end of the third quarter of 2014. Fourth quarter ending inventory turns were 4.5 as compared to 4.6 turns in Q4 2013 and 4.9 turns in the third quarter of 2014. Let's turn to our channel inventories. Our channel partners report inventory to us on a weekly basis, and we use a 6-week trailing average to estimate weeks of stock. Our U.S. retail inventory came in at 7.8 weeks of stock. Current distribution inventory levels are 12 weeks in the U.S., 5.4 weeks of stock for distribution in EMEA and 7.2 weeks in APAC. For the first quarter of 2015, we anticipate revenue will be in the range of approximately $300 million to $315 million. The decline in revenue beyond normal seasonality is due to the challenges faced by the service provider business as well as the strengthening of the U.S. dollar. Additionally, there are also 6 less selling days in Q1 for our Retail Business Unit as compared to Q4. First quarter non-GAAP operating margin is expected to be in the range of 8.5% to 9.5%, which includes an unfavorable impact of approximately 100 basis points that is due to the appreciation of the U.S. dollar. Our non-GAAP tax rate is expected to be approximately 37% for the first quarter of 2015. Operator, that concludes our comments, and we can now take questions.
Operator: [Operator Instructions] Our first question comes from the line of Ryan Hutchinson with Pacific Crest Securities.
Ryan Hutchinson - Pacific Crest Securities, Inc., Research Division: So a few questions on the service provider segment. I understand the CapEx constraints that are taking place, but could you help us understand the impact by geography? And then specifically, are you seeing anything with respect to competitive displacements or anything along those lines? I'm just trying to get a better understanding of the dynamics there just outside of the commentary around the CapEx environment. And then second to that is, can you help us -- just remind us, AirCard, I believe that run rate was around $50 million. Is there a change in that thinking in terms of maybe what the run rate was in Q4 and what your expectations are for that business moving forward?
C. S. Lo: First and foremost, from a CapEx spending basis, we see similar reduction across both EMEA as well as North America, lesser in Asia-Pacific. And you're right, I mean, the CapEx affects everybody, and as such, the markets shrink. When the markets shrink, some of our competitors are willing to take pretty aggressive stand in pricing, which we are not willing to. So that's why we mentioned in just our script that we pass on some of those businesses. So you're right, the competitive environment has been growing more hostile in terms of pricing because of the shrinking market. So I hope that answers your first question. Second question, in terms of the AirCard, we're not going to comment specifically on product line revenue. But suffice to say, the CapEx expenditure affects across all of our customers, both our wireline and mobile, but more so on wireline. On the other hand though, we do see that the investment is shifting to LTE. And as more and more roll out 4G LTE, especially in Europe and in Asia, we do believe that there is a tremendous growth opportunity of our LTE business to go beyond pre-acquisition level. And that's why we are focusing what the remaining of our SPBU resources more on the LTE and a few of our selected wireline accounts, which we believe that we can add value and be profitable.
Ryan Hutchinson - Pacific Crest Securities, Inc., Research Division: Okay. And then as part of restructuring, I understand that $79 million charge and some of the other measures are taking. But are you rationalizing any product lines that we should be aware of?
C. S. Lo: No, we're not rationalizing the product lines because frankly, for service providers, unlike retail or commercial, they aren't that many products. They're pretty common across the board. It's more rationalizing on the accounts than how much business we want to do, I mean, really focused on the accounts that we believe that we add more value meaning, that we'll be focusing in selling more of the leading-edge technology products that we can command a better margin.
Ryan Hutchinson - Pacific Crest Securities, Inc., Research Division: Okay. And then finally, Patrick, do you have any comments on E-rate? I know you don't sell specifically into the K-12 segment, but I'm assuming some of the product ends up in that product segment. So any color around the potential E-rate headwinds or tailwinds as we think about 2015. And that's it from me.
C. S. Lo: We traditionally do not sell that much into public school districts. We primarily sell to more private schools. So E-rate, really, doesn't affect us that much.
Operator: Our next question comes from the line of Mark Sue with RBC Capital Markets.
Spencer William Green - RBC Capital Markets, LLC, Research Division: This is Spencer Green for Mark Sue. So following up a little bit on the service provider segment here. I thought that you said that you may be seeing a quarterly run of approximately $100 million to $105 million for that segment in calendar year '15.
Christine M. Gorjanc: Yes.
C. S. Lo: Yes, that's what we said. Yes.
Spencer William Green - RBC Capital Markets, LLC, Research Division: Okay. So obviously, that can change, but could you give any further -- or do you have any further insight with regards to linearity there and then what this would imply for your outlook with regards to the other 2 segments of the business?
C. S. Lo: As we could see, at beginning of the year, talking with all our customers and sizing up the opportunity, I think it's pretty consistent quarter-to-quarter in that range. There was probably up and down, here and there, 5%, 10%, but pretty much hovering around that $100 million-some. Maybe in some quarters, will be $110 million; maybe some quarters were $90 million, but it will be hovering around the $100 million mark, and we don't see any significant changes. But we're working definitely on a lot of new opportunities, especially on the LTE side, that we can boost that level going into next year, hopefully. From the RBU side and CBU side, clearly, especially for RBU, the growth opportunity will continue to be the Nighthawk line of products. Last year, we introduced the 11ac X6, which is basically a tri-band 3x3. This year, there'll be a lot more new introductions. For example, as you probably know, there's the wave 2 coming. There is tri-band 4x4 coming. So there's a lot of exciting new products on the 11ac front. And then Arlo is clearly a platform that we are very excited about. The introduction was very well-received in November, and the pre-orders was very encouraging. And so far, I mean, we only have it sold in the U.S. on Amazon.com and just one other retail outlet, but so far, it's doing very well. And once we expand the distribution into the whole retail channels, the 44,000 retailers around the world, we think that it would be very exciting for us. So -- and we will definitely go beyond the one camera on this line. So those are the opportunities that we see in RBU. On the CBU side, we continue to win on switching, which is the core competency of NETGEAR. And we have been kind of the leaders in introducing breakthrough technology through the SMBs years ago, with Gigabit and then 10Gigabit. Right now, we're very excited with the 2 new breakthrough, the Click Switches and the Chassis Switch. The Chassis Switch is the first -- industry first of $8,000 chassis, and then the Click Switches' completely revolutionary wiring and mounting design. So even though it's at the low end, it is offering a significant value to our customers. So we could command a 50% or 100% premium on assuming the unmanaged switches, 8-port, 16-port. So it clearly -- and those are the opportunities on the CBU side that we'll continue to focus on.
Spencer William Green - RBC Capital Markets, LLC, Research Division: Okay. And just very briefly, if I might. You guys are buying back a pretty good chunk of stock and returning cash to shareholders. And you have about -- it looks like about $250-plus million in cash, no debt on the balance sheet. Has there been any thought or thinking surrounding further optimization of the balance sheet, possibly a prudent amount of debt and/or some kind of ASR in addition to your regular buybacks?
Christine M. Gorjanc: Yes, sure. We review that pretty regularly, and we have, over, say, the last 5 quarters, repurchased again, like I mentioned, about 4.8 million shares, $153 million, which really would have been equivalent to an ASR. But we do continue to review what is the, say, optimum vehicle to do that, and we'll continue to look at that.
Operator: Our next question comes from the line of Jeff Kvaal with Northland Securities.
Jeffrey Thomas Kvaal - Northland Capital Markets, Research Division: I have a few teed up here. I think, first, can we dial in a little bit more to what your plans are in terms of OpEx spending? Is the incremental savings that you plan to get out of the SBU going to replace spending that you would have grown in the other segments anyway? Or is your net OpEx at this time next year going to be lower than it would have been without these changes? If you see where I'm driving at here?
Christine M. Gorjanc: Right. I think we were going to -- we'll continue to drive CBU and RBU and OpEx like we would. As revenue grows, we'll make investments for new products. I think where you'll see us, I guess, what I would say, rightsize it is within the service provider business. Given the downfall -- the drop in the revenue, we will then reduce those operating expenses, continuing to invest in LTE. So overall, I don't expect to drop in OpEx for the company, but definitely, we're shifting that spend from one business unit to the other.
Jeffrey Thomas Kvaal - Northland Capital Markets, Research Division: Okay. So the idea isn't to over-invest relative to historical norms in the other 2 units, while ratcheting back in...
Christine M. Gorjanc: Oh no, absolutely not.
Jeffrey Thomas Kvaal - Northland Capital Markets, Research Division: Okay. All right. Okay. That's good. Okay. Secondly, in parsing your guidance, and I understand there's a decent amount of wiggle room here, if one goes right to the $100 million and $105 million for March. And it seems as though you are anticipating a seasonal or slightly below seasonal quarter for retail, I'm not entirely sure if that's the intention that you're trying to signal. So please help us with that, if you could.
Christine M. Gorjanc: We'll have normal seasonality. I think the thing we mentioned in the scripts is we have for retail 6 less selling days in Q1 than Q4, and we have a little bit of FX headwinds in that. So overall, normal seasonality, but we have a few other headwinds, which is a little bit of FX on the revenue side, and clearly, less selling days in retail where every day counts.
Jeffrey Thomas Kvaal - Northland Capital Markets, Research Division: In that case, when should we start thinking about a contribution from Arlo?
Christine M. Gorjanc: So Arlo is starting to roll out this quarter. But I think a meaningful contribution to that will be a little more in the back half of the year. We're absolutely rolling it out as we speak.
Jeffrey Thomas Kvaal - Northland Capital Markets, Research Division: Okay. And what kind of unit growth are you planning into the assumptions, like annual unit growth in the retail business?
Christine M. Gorjanc: We haven't really disclosed that. But I would say, more of where we want to expand it into both -- obviously, we're already online into the brick-and-mortar, into Europe, and it has a good ASP with that also.
Jeffrey Thomas Kvaal - Northland Capital Markets, Research Division: And then last question is -- Ruckus has brought out the Xclaim product line pretty recently. So I'm not sure if you've seen that showing up in some of your CBU engagements? Or what we should make of that?
C. S. Lo: Yes, we don't really compete with either Ubiquiti or Ruckus in that space because they are selling primarily into what they call it do-it-yourself community support market, while we are selling primarily into what we call a solution market, pretty much packaged by a reseller with a lot of services to go with it. So we don't see them that much. I mean, we're quite separate.
Operator: Our next question comes from the line of Rohit Chopra with Buckingham Research Group.
Ryan Michael Flanagan - The Buckingham Research Group Incorporated: This is Ryan Flanagan on for Rohit. I had a question on the Commercial Business Unit, a little bit of a bounce back there. I want to parse this rank. I know, Patrick, you mentioned from your switching products there. In the quarter, was the strength being driven by more switching or storage or wireless LAN? And kind of as a follow-up there, if you could talk about growth in the segment if you think it's sustainable.
C. S. Lo: Yes, I mean it's pretty clear that in Q4, the strength is primarily in the switching and a little bit of the storage side on the high-end storage, especially in ReadyDATA. We believe that the switching is our core competency. We actually -- when we established NETGEAR, we're basically a 2-headed course -- I mean, routers and switching -- and we believe that we will continue to lead in the switching side because we invented a lot of the switches. I mean, we invented dual-speed switch. We invented the gigabit, 10-gigabit and the smart switch then plus switch. Now we invented the click switch. So we believe that by always shaping the future yourself, you will be able to lead. So I think we were very confident we'll continue to grow on the switching side. And on the storage side, clearly, I mean, we need to capitalize on the strength of ReadyDATA. We're just in more solution selling. So solution selling is not a do-it-yourself thing, but we need to recruit resellers who would be able to package and deliver those solutions. So our success in 2015 on the storage side is really dependent on how successful we are going to continue to recruit and train enough of the solution system integrators to deliver that solution to our customers.
Operator: [Operator Instructions] Our next question comes from the line of Hamed Khorsand with BWS Financial.
Hamed Khorsand - BWS Financial Inc.: Just want to start off. Can you explain the drop-off in ARPU? I mean, there was a considerable drop-off, even though your commentary is saying that you're selling more high-end products, but ARPU did decline this quarter.
C. S. Lo: Well, I mean, it depends on how you look at it. On the Retail Business Unit, we definitely are increasing our average selling price. But you're right, I mean, overall, we're dropping because the environment in service provider is getting hostile, it's very difficult. So that's why we have to make some strategic changes.
Hamed Khorsand - BWS Financial Inc.: Okay. On the service provider end, is that more than just the shift to DOCSIS 3.1 for next year?
C. S. Lo: Well, I mean, clearly, as I mentioned previously, that is the pricing pressure. When you have a shrinking market -- I mean everybody is lowering their prices and which cause the drop-off in ASP. And that's why we have to make some strategic decisions which we made.
Hamed Khorsand - BWS Financial Inc.: No, I was referring to just service providers just not trying to take inventory of new -- any routers or -- because they're moving 3.1 next year, they wouldn't want these older routers, right? Is it more inventory controls? Or is it something else?
C. S. Lo: No, I mean, we do not see that. As we mentioned on the service provider side, there are 2 things. One, I mean, there is a reduction in their CapEx spend, all right, so which makes the market smaller. And second, when the competitors are being more aggressive in price, so the average selling price is getting lower. So you basically have to sell more units to get to the same amount. That's what's happening in the market today.
Hamed Khorsand - BWS Financial Inc.: Okay. Just 2 more from me. One is your commentary on the retail unit, with the 6 fewer days in the quarter. Does that mean that we'll see some sort of catch-up in Q2 on the retail end?
Christine M. Gorjanc: Well, I mean, there probably is a few more days, but Q2, seasonally, is a little bit down from Q1. Maybe it's a little bit down less than normal, but it's still, seasonally, the most down quarter of the 4.
Hamed Khorsand - BWS Financial Inc.: Okay. My last one is that given where you guys are guiding to with the operating margins and the ForEx impact, are you moving away from your commentary from Analyst Day where you said that you're trying to get to 12% operating margin this year?
Christine M. Gorjanc: I'd say we're always trying to make a higher operating margin. The drop in the currencies was so quick, and in all the currencies, that we really can't make that up that quickly. We'll obviously work on product cost and everything we can, pricing on new products potentially. But it was so quick that we have to take a little time to make that up.
C. S. Lo: But our strategic objective is to get back to 11% to 12%.
Operator: At this time, there are no further questions. I would like to turn the floor back to management for any closing comments.
C. S. Lo: Yes, I mean, the market is definitely in a transition for technologies in the Retail Business Unit and for the CapEx spending and the shift from wireline to wireless in the Service Provider Business Unit. We believe that if we could capitalize on this transition and make our investments accordingly and leading with our innovative products, we would be able to prevail and win after this transition is over. So we're excited about the opportunities of LTE, of Arlo, of Nighthawk and SMB solutions in 2015, and we'll focus on that. And we'll talk to you on our progress next time when we have our earnings call in April. Thank you, everyone.